Operator: Thank you for standing by. This is the conference operator. Welcome to the Eldorado Gold Corporation First Quarter 2019 Results Conference Call. [Operator Instructions]. I would now like to turn the conference over to Peter Lekich, Manager, Investor Relations. Please go ahead, Mr. Lekich.
Peter Lekich: Thank you, Operator, and thank you, ladies and gentlemen, for taking the time to dial in to our conference call today. With me in Vancouver this morning are George Burns, President and CEO; Phil Yee, Executive Vice President and CFO; Paul Skayman, Executive Vice President and COO; and Jason Cho, Executive Vice President and Chief Strategy Officer. Our release yesterday details our 2019 first quarter financial and operational results. This should be read in conjunction with our first quarter financial statements and Management's Discussion & Analysis, both of which are available on our website and have been filed on SEDAR and EDGAR. All dollar figures discussed today are in U.S. dollars unless otherwise stated. We will be speaking to the slides that accompany this webcast. You can download a copy of these slides from our website. Before we begin, I would like to remind you that any projections included in our discussion today are likely to involve risks, which are detailed in our 2018 AIF and in the cautionary note on Slide 1. I will now turn the call over to George.
George Burns: Thanks, Peter, and good morning, everyone. Here's the agenda for today's call. I'll give an overview of the quarter's highlights and then pass it over to Phil to go through the financials. Paul will follow by reviewing operations and then we'll open it up for questions. Over to Q1 highlights. On the next slide, we have started the year with the achievement of two major milestones, Lamaque commercial production and resuming mining and heap leaching at Kisladag. These successes come on top of a quarter of solid operational results. We expect the increased production from Lamaque and Kisladag will generate free cash flow over the next several quarters, giving us the financial flexibility to pay down debt and reinvest in our business. We had solid operating results in the first quarter of approximately 83,000 ounces, which is in line with our plan. We maintain our guidance of 390,000 to 420,000 ounces of gold at cash cost of $550 to $600 per ounce for the year. Production is back-end loaded as a result of the higher second half production at Olympias and the ramp-up of production at Lamaque and Kisladag. A major milestone was achieved this quarter with commercial production at Lamaque. We declared commercial production on March 31, in line with our guidance. Lamaque is a fantastic asset where we see a lot of long-term potential. With over 37,000 meters of exploration drilling planned for this year and excess capacity at the Sigma Mill, we are well positioned to continue creating value at Lamaque. I'd like to take a moment to recognize the efforts of the entire Lamaque team for their focus, drive and determination in achieving this commendable goal. Very few mines go from a preliminary economic assessment to production in 24 months, or successfully maintain a solid safety record during the construction. This is a testament to the quality of the team we have in Québec. I have equal regard and respect for our team in Turkey, who superbly pivoted from building a mill to resuming mining and heap leaching at Kisladag in 3 short months, the second major milestone achieved for this company for the year. Mining and crushing at Kisladag resumed on April 1. This is no small feat and the team's success clearly speaks to the tenacity and can-do attitude. Our operations in Turkey continued to deliver operational excellence for Eldorado. I am proud that our team continuously raises the bar and sets the standard for responsible mining practices in Turkey and beyond. I want to take a quick moment to show the impact of the delayed sales of Efemçukuru concentrate on our cost. As you can see here, had the concentrate been sold in the quarter according to plan, we'd be sitting at about $100 per ounce lower on our cash cost and a significant amount of $720 per ounce lower on AISC for Efemçukuru. It would have outperformed our guidance range as Efemçukuru had a very strong first quarter. So with those highlights from Q1, I'll hand it over to Phil to talk through the financials.
Philip Yee: Thanks, George. Good morning, everyone. On Slide 5, we presented an overview of our financial results for Q1 2019. Before I get into the details of the slide, I would like to point out a timing issue in the recognition of revenue from sales of the Q1 production. Q1 2019 production was in line with expectations for the quarter. However, as George indicated, we experienced delayed sales of the concentrate produced at Efemçukuru in Q1 2019. But the buildup of concentrate inventory during the quarter was attributable to a contract dispute with a customer and shipping delays due to inclement weather at the port. Sales of the concentrate containing approximately 20,000 ounces of gold were delayed in the quarter. The sale of a majority of these Q1 produced ounces are expected to be completed this quarter in Q2. The timing of the recognition of the revenue from the delayed sales of these Q1 produced ounces have a significant impact on the reported financials, specifically metal sales revenue, net loss for the period, adjusted net loss for the period, loss per share, adjusted loss per share and cash. In April, subsequent to Q1 2019, sales of the concentrate containing approximately 5,000 ounces of gold have been completed. The proceeds from this sale are recognized in Q2 2019 revenue. Contracts with alternate customers have been finalized, and we expect the remaining concentrate inventory from Q1 2019, containing approximately 15,000 ounces of gold to be sold during the remainder of this quarter and into Q3 of 2019. Turning back to Slide 5. Eldorado Gold generated $80 million in metal sales revenue in Q1 2019 compared to $131.9 million in the first quarter of 2018. Included in this total, gold revenues are $54.5 million compared to $115.5 million in first quarter of 2018. Total metal sales revenue were lower in Q1 2019 as a result of lower gold sales volumes in the quarter, largely due to the delayed concentrate sales at Efemçukuru in Q1 2019. Sales of 43,074 ounces of gold were lower than the 86,587 ounces of gold sold in the first quarter of 2018, predominately due to the delays in shipments from Efemçukuru in Q1 2019. In addition, there was lower production at Kisladag in Q1 2019 compared to Q1 2018 due to the suspension of mining and stacking on the leach pad since April 2018. Resumption of mining, crushing and placing of ore on the Kisladag heap leach pad took place on April 1 of 2019. Operating cash cost in Q1 2019 averaged $625 per ounce sold, an increase from $571 per ounce sold in Q1 2018. The higher cash cost per ounce sold in Q1 2019 reflects the impact of the lower gold sales volumes in Q1 2019, again due to the delayed shipments of concentrate at Efemçukuru. All-in sustaining cost averaged $1,132 per ounce sold in Q1 2019 compared to $878 per ounce sold in Q1 2018. The increase in all-in sustaining costs during the quarter was due primarily to the lower ounces sold, again as a result of the delay in sales at Efemçukuru and was partially offset by lower sustaining capital expenditures in the quarter, compared to the comparative quarter of 2018. If the delayed concentrate sales from Efemçukuru had been sold during Q1 2019, consolidated all-in sustaining costs per ounce sold for Eldorado would be within guidance for the quarter. As the timing of concentrate sales normalized over the next quarter, Lamaque continues to ramp-up and production increases at Kisladag, we expect cash operating costs and all-in sustaining cost to be more in line with 2019 guidance. Sustaining capital expenditures totaled $10.8 million or $251 per ounce sold in Q1 versus $13.8 million or $159 per ounce sold in Q1 2018. Mine standby cost for the quarter were $8 million compared to $2.7 million in Q1 2018. The increase is due to the suspension of mining operations at Kisladag from April 2018 to Q1 2019. With the resumption of operations at Kisladag on April 1 of this year, we expect standby costs to reduce going forward. G&A expenses totaled $7 million in Q1 2019, a decrease of 15% from $8.2 million in Q1 of 2018. The decrease reflects the allocation of in-country office G&A expenses supporting the operations to production cost beginning in Q1 of 2019. The company reported a net loss to shareholders from continuing operations in Q1 2019 of $27 million or $0.17 loss per share compared to net earnings from continuing operations of $8.7 million or 5-point -- $0.05 per share in Q1 of 2018. The higher net loss to shareholders for the quarter was due primarily to lower gold revenues resulting from lower sales due to timing, partially offset by higher silver and base metal revenues and lower production costs. Lower revenue and sales in Q1 2019 were a result of the delayed concentrate shipments from Efemçukuru and also to lower production at Kisladag in Q1 2019 when compared to Q1 of last year. Adjusted net loss from continuing operations in the quarter was $17.9 million or $0.11 loss per share compared to adjusted net earnings of $14 million or $0.09 per share in Q1 2018. This is also a reflection of lower revenues and lower earnings in the quarter, primarily driven by the delayed shipments at Efemçukuru in Q1 of 2019. We finished the quarter with cash, cash equivalents and term deposits of $227.5 million compared to $459.7 million at the end of Q1 of 2018 and $293 million at the end of Q4 2018. The decrease in cash for the quarter was largely the result of the delayed shipments at Efemçukuru, the completion of capital development requirements in Q1 of 2019 at the Lamaque project in order to get the project into commercial production, and those costs partially offset by proceeds from precommercial production gold sales at Lamaque. The timing of the Q1 2019 delayed sales at Efemçukuru are expected to be completed in Q2 and Q3 of this year and will increase cash in those subsequent quarters. As George mentioned earlier, Q1 2019 production of approximately 83,000 ounces is in line with plan. While our production performance met expectations for the quarter, the timing of the sales, unfortunately, impacted our Q1 2019 reported financial results. The unsold inventory of concentrate from Q1 2019 is expected to be completed in Q2 and Q3, and the financial impact will be realized and reported in those quarters. I will now turn over to Paul for a recap of operations during the quarter. Over to you, Paul.
Paul Skayman: Thanks, Phil. Good morning, everyone. Starting with Lamaque on Slide 6, is a time line of our rapid progress, taking this asset from acquisition to production in just under two years. We poured first gold in December 2018 and had a great first quarter with almost 20,000 ounces of precommercial production. Recoveries averaged 91% on the lower grade ore processed during commissioning, which met our expectations. Gold recovery so far in Q2 is in line with our budget at 95%. As you know, we declared commercial production on March 31. Underground development continued throughout the quarter and remains on plan. The activities at the Sigma Mill during the quarter included completing construction and commissioning of the remaining process systems and hiring and training of a second shift at the mill. We're now fully staffed and operating 24 hours per day. Exploration during the quarter focused on resource expansion below the C5 zone in the lower triangle deposit and testing early-stage nearby targets. New intercepts from the program confirmed the exploration potential of the C9 and C10 shear zones and peripheral zones of mineralized stockwork veins. The current drill locations are not ideal for testing the C6 to C8 zones, and we expect to be able to provide more color later in the year. 1,950 meters of resource conversion drilling was completed, targeting existing inferred resources on the C4 and C5 zones. We continue to see significant upside potential at Lamaque based on the excess capacity we have in the mill as well as the positive exploration results we've realized over the past year. Our focus is to expand production by making use of this mill capacity.  Reflecting on Lamaque, Canada's newest gold mine, it's a great success story for us and our stakeholders. Together we've made a significant investment into Québec and created approximately 500 new jobs. As a result, strong relationships for the local community and they're evaluating energy efficient processes and leading technologies, such as dry stack tailing in order to minimize our environmental footprint. Our [indiscernible] one, the Commitment to the Community Award from the Federation of Québec Chamber of Commerce. This is one of the most prestigious business competitions in Québec. We were recognized for the company's contribution to the development of its community. I'm incredibly proud of the contributions our team at Lamaque are making every day to build value for all our stakeholders. Over to Kisladag on Slide 7. The main news here is the resumption of mining, crushing and stacking from April 1 this year. Q1 production was 27,247 ounces of gold. We expect gold production to ramp-up at Kisladag in the latter part of this year and into early next year as the newly stacked ore begins leaching over the extended cycle of 250 days. Cash costs were in line with guidance this quarter at $558 per ounce sold. Well, the test work is underway to determine the effects of 250 day leach cycles on recoveries related to the deeper material in the pit, the results of which are expected to be available in late 2019 or early 2020. We expect to update long-term guidance at Kisladag based on this test work. Over to Efemçukuru, where gold production was on target but sales lagged due to concentrate shipment delays. Phil has already provided color on this, but I would reiterate that there were no issues with the quality of the concentrate, and we expect the concentrate inventory of approximately 20,000 ounces of gold to be sold in Q2 and Q3. Further to this, over 5,000 of these ounces were sold and have already shipped in April of this year. Gold production of 26,124 ounces at Efemçukuru was in line with expectations. Cash costs of $636 per ounce sold were higher than guidance due to delayed concentrate sales in the quarter and costs being spread over reduced ounces sold. If sales has gone according to budget, cash costs for the quarter would have been below guidance. Over 6,000 meters of exploration drilling was completed at Efemçukuru during the quarter on the Kokarpinar vein system and on vein targets in the footwall to the Kestani Beleni vein system, testing extensions of high grade shoots in these areas. On to Olympias on the next slide. Metallurgical performance improved in the quarter with higher recoveries achieved for all metals versus the latter half of last year. Concentrate quality also improved in the quarter compared to the prior 2 quarters of 2018. The concentrate produced in Q1 2019 is largely within specifications of existing contracts and deliveries are being completed as planned. Additionally, the company expects to sell the remaining inventory of Olympias gold concentrate built up at the end of last year of approximately 8,000 ounces during the rest of 2019. Olympias produced 9,928 ounces of gold, which looks low though we expect that production will pick up later in the year, and are maintaining our production and cost guidance for this asset. Silver and lead production was lower in the quarter compared to Q1 2018 due to lower grades partially offset by improved recoveries. Zinc production was higher as improved recoveries offset marginally lower grades. Cash operating costs in Q1 2019 were $800 per ounce sold. Cash costs were higher than guidance for the quarter due to timing of sales and higher production costs. Cost-reduction initiatives are ongoing at Olympias, targeting high-cost consumables, operating inefficiencies and G&A. That's it for me. I'll hand it back to you, George.
George Burns: Thanks, Paul. Let's turn over to Slide 10. Before I wrap up, I'd like to say a few words on recent management changes. I'd like to extend a warm welcome to Cara Allaway who joined Eldorado as Vice President, Finance in March. I'd also like to congratulate Jason Cho who was recently promoted to Executive Vice President and Chief Strategy Officer. I'd like to thank Krista Muhr, Senior Vice President of External Affairs and Sustainability, for her significant contributions to Eldorado. It's been a pleasure working with her over the past two years. Krista departed the company in April to pursue other opportunities. Refinancing remains a priority for the company with a focus on near-term maturities and capital structure to meet the company's long-term debt -- long-term needs. With an excellent operating quarter behind us, we remain focused on continuous improvements to increase productivity and efficiency and to realize additional value. Thank you, everyone. I'll turn it over to the operator for questions.
Operator: [Operator Instructions]. Our first question is from Mike Parkin with National Bank.
Michael Parkin: Can we get a bit more color on the background of the inventory build at Efemçukuru? What was the dispute? And was it with a -- you had one single customer taking product, and now you derisked that, by -- it sounds like by moving to a group of customers?
Paul Skayman: Yes. So it was a fairly heavy contract with a single customer, Mike. And we consequently record on the back port a little as they refused to take that material early in the quarter. We have subsequently signed a number of contracts with other buyers at similar terms and are shipping that material but it was just a very slow start to the quarter. So I'd reiterate: The material is within spec, good quality, we are selling, and it's really just a timing issue.
Michael Parkin: Okay. So why was the original customer refusing to take it?
George Burns: Well these are commercial terms, we can't get into those sort of details, Mike.
Michael Parkin: That wasn't like a capacity on their end, kind of restrain or something like that?
George Burns: Yes, just really can't comment any further what their challenges were.
Michael Parkin: Okay. And then with Lamaque, how are sales tracking there?
Paul Skayman: Now we're selling door rights to the local refinery. So sales are not an issue, but that material's moving out pretty well as it's produced.
Operator: Our next question is from Steven Butler with GMP Securities.
Steven Butler: It is a great start for Lamaque this year, George, almost 20,000 ounces. So precommercial was expecting to be 10,000 ounces, can you maybe just explain, obviously there's a difference of 10,000, but how did that come about? And just to reiterate, were you again still expecting commercial production timing to be April 1, roughly? And again, just explain a bit here from some any ounces how that can both?
Paul Skayman: Yes, hi Steve. When we initially gave guidance, we anticipated that March would be commercial rather than starting in on April 1. So it's just, again a timing issue. We guided 10,000 ounces for the first 2 months and ended up with 20,000 for the first three. We're still reiterating that guidance of 100,000 ounces for the year, yes.
Steven Butler: Okay, understand. And then on Olympias, Paul, maybe you can give us a sense of, I mean, have you ironed out some of the challenges in the metallurgy there or still to iron a few more things out there in the metallurgy?
Paul Skayman: Yes. I think very much improved metallurgical performance over the first quarter. I think we're getting a better handle on the blending requirements from underground. Not quite ultimately where I'd like it to be, but very much closer to that target, compared to where we were late last year. I'm sorry, but that's largely a little bit of opportunity, but largely derisked at this point.
George Burns: And then I might add, supplement that answer is, I think you've also noticed the recoveries bumped up during the quarter. So not only did we see an improved blend and as a result, improved concentrate quality, but we're seeing the recoveries move up, and obviously that adds to production in margin. So things are looking positive.
Steven Butler: Right. And George, can you go over again, you said the cash costs and the ASIC would be different, Efemçukuru, by what dollar per ounce range? I wrote one of them down, but can you give those numbers again. And maybe why would the cost had been so dramatically less if most of your costs for that, those 20,000 ounces should be on the balance sheet under inventory?
Philip Yee: I can address that. All right, Steve, it's Phil here. And it's all -- in the cash operating cost number, you have, as you mentioned inventory component. So that would be on the balance sheet. So the impact is slightly less because part of that, part of those costs have been put on the balance sheet. On the all-in sustaining side, all of the sustaining capital spend is going to be spread over all the deferred ounces. But that's why you see such a significant swing between what the cash cost, because part of it is already in -- is booked in inventory, whereas in all-in sustaining, you don't have that inventory component, all of the sustaining capital then gets spread over the -- if all the ounces would have been sold, a little the 20,000 ounces, you get a much bigger reduction in all-in sustaining.
Steven Butler: Okay. So what were the differences then again, just to review them again with you guys, for Efemçukuru?
Philip Yee: Well yes, so if you take a look at Slide 5 in the presentation, we've highlighted the numbers. But for Efemçukuru, Q1 on a sold basis, the cash cost were $636 per ounce. And in 2019, if you used the produced numbers and all this is in our disclosure, it's approximately $525. So about $100 lower. On the all-in sustaining cost on a per sold basis, it's $1,394, but if you assume we sold the concentrate in, therefore use the produced number, it's about $670 an ounce. And that falls through -- it's all dated numbers and not quite as a dramatic impact, but again, cash costs were $625 on a per ounce sold basis, and it would drop to $580 on a produced basis. And then all-in sustaining is $1,132 per ounce, on a sold basis, and it drops to $920 if you use the produced number. But really what we're trying to illustrate here is, it really is a timing issue. If we had a normal quarter in sales or our production costs and own sustaining cost would have been lower, and our financials would have been dramatically different. And so got to work itself out during Q2 and Q3 as we get that concentrate on the ships and off to customers.
Operator: Our next question is from Josh Wolfson of Desjardins.
Joshua Wolfson: Looking at the total capital number of $86 million, I saw the disclosure for sustaining being $11 million, and Lamaque being $34 million, which leaves a gap of roughly $45 million. Any sort of insight you can provide as to where that would have been allocated to?
Philip Yee: We're putting that together, Josh. Just 1 minute. Okay Josh, can you just reiterate those numbers you just...
Joshua Wolfson: Yes. So I believe the total capital was reported for the quarter, corporate was $86 million. And then in the statement, so the MD&A talks about Lamaque spending of $34 million and sustaining of $11 million. Sorry, so those 2 -- so the items that were disclosed, sustaining capital and Lamaque spending would be $45 million compared to the total overall capital of $86 million. So that would be a difference between those two of $41 million. Any sort of insight you can provide as to where that was spent? The smaller operations, development projects, TZ, Certej, Skouries, this is not usually more than a couple million dollars with their big spending at Kisladag or Olympias in the project side of things?
Philip Yee: No, I think a big part of it, Josh, the Lamaque capital, the $86 million I think you're quoting there is including gross capital spent in the precommercial production period for Lamaque, but part of that is offset by precommercial sales. And then there's also there was a fairly large accounts payable balance for the Lamaque project at the end of 2018. So that would have been put through then, and that was paid. So there's a cash component to that. So I think those two items are probably explaining the difference. What I can do is try and put together reconciliation and show it to you. I'll send it to you.
Joshua Wolfson: Okay. It looks like a sizable chunk would have been the payables number, because I guess, the Lamaque $34 million is pre-revenues. But if there's any big spending in other operations, which I guess we wouldn't be aware of, I'm just trying to figure out if there's something that's different than expectations, if that would be...
Philip Yee: No, there's no other significant capital. It's mainly the, like I said, it's -- the biggest chunk was Lamaque, but there was a significant carry forward from the Accounts Payable from year end, and the offset of the revenue from the precommercial sales in Q1.
Joshua Wolfson: Okay. And back to the Efemçukuru item. I assume you guys are -- you have a good handle, at least, on what's coming out of mine regardless of what someone else's terms or views may be. Are you able to disclose if there were any changes in terms of the concentrate quality or the grade from your own test that you do on-site before shipment?
Philip Yee: No, there's no impact on concentrate quality at Efemçukuru. I think we've talked a bit about the Olympias concentrate quality in the market issues we had late last year that are largely resolved. But in terms of Efemçukuru, I'd tell you the concentrate we're producing and the terms are consistent with what we have in our guidance and our expectations. And the new contracts that we've signed, again are consistent with our assumptions that flow through in all of our guidance. So we're not concerned at all about being able to sell that concentrate, consistent with our expectations.
Joshua Wolfson: Okay. And on the variance between sales and production there, trying to understand how that's affecting the statements. I would have -- given that the sales don't flow through the income statement, typically we would expect to see I guess, a very big working capital outflow, but there is a net inflow of $12 million this quarter. What sort of caused that, versus I guess, our expectations of the outflow for just looking at Efemçukuru timing variances alone?
Paul Skayman: This is a [indiscernible] flow, I'm guessing, but selling the inflow from the Kisladag, that would all have been through production. That was 27,000 ounces -- 20,000 ounces of outflow from Efemçukuru delayed sales, but that will probably account for the lion's share of that. So now, Josh, at Kisladag, it's back in, you'll see inventory start to tick up. But Kisladag and you will see Efemçukuru come down, but again, Kisladag will probably swamp Efemçukuru in terms of volumes.
Joshua Wolfson: Okay. It's a bit difficult to hear you guys there. Yes, there seems to be a gap versus, I guess, what our expectations would have been on working capital, if there's any insight you have on that, that would be helpful. Or maybe just understanding, in case the accounting is maybe perhaps different for either the Lamaque ramp-up or Efemçukuru sales differences, the accounting seems to be slightly different than what we're typically used to. If there's any information you can provide on what those capital changes are? Or where costs are being categorized for Efemçukuru if they're not -- sorry, Lamaque, if it's not strictly capital that would be helpful.
Philip Yee: Okay. We'll get back to you on that now Josh.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. George Burns for any closing remarks.
George Burns: Now thank you, operator, and thank you, everybody for joining our call today. Again, I think I'd just highlight once again that from an operating perspective, we felt we got a solid quarter and it's unfortunate that the timing of Efemçukuru concentrate sales got a fairly significant impact on our financial results. But rest assured, we're confident we'll deliver our guidance for the year, and look forward to next quarter's call with Lamaque being in its first quarter of commercial production. Thank you, everyone.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.